Ignacio Cuenca Arambarri: Good morning, ladies and gentleman. We are delighted you are able to be with us for the presentation of our 2019 first quarter results. The presentation will follow our traditional format. Firstly, we will begin with an overview of the results and the main development during the period given by the top management that usually we have with us, our Chairman and CEO, Mr. Ignacio Galán; Mr. Francisco Martínez Córcoles, Business CEO; and finally, the CFO, Mr. José Sainz. Afterwards, we will move on to the Q&A session. We would also like to point out that we are only going to take questions submitted via the web, so please ask your question only through our web page www.iberdrola.com. Additionally, we expect that today’s event does not last more than 45 minutes. Hoping that this presentation will be useful and informative for all of you, I would like now to give the floor to our Chairman and CEO, Mr. Ignacio Galán. Thank you very much again. Please, Mr. Galán.
Ignacio Galán: Thank you, Ignacio. Good morning, everyone and thank you for joining today to this conference call. Before entering into details, I would like to begin by saying that this result once again demonstrated the capacity of Iberdrola model to provide growth and resilient results. In the first quarter, the net profit increased by 15% to €964 million. EBITDA reached €2.6 billion, up to 11.9% compared to the first quarter 2018. Thanks to the good performance of all businesses and the ongoing improvement in operating efficiency in all countries, especially in Brazil. Operating cash flow is also up by 8.5% exceeding €2 billion for the second consecutive quarter and our financial position continued to be strong with FFO to net debt ratio above 21% in line with the figure shown in end of 2018. In the first quarter of 2019, our three business lines maintained a positive trend. Net gross EBITDA increased close to 10% with strong result in all geographies, particularly in Brazil. Let me highlight that the performance of Neoenergia distribution business in Brazil where the increase in tariff in Bahia, Rio Grande do Norte coupled with a cost saving and synergies led to an increase of over 30% in operating results. Renewables EBITDA rose 13.3% due to the recovery in prices compared to March 2018, a 58% rise in offshore wind generation, thanks to the full contribution of our German offshore wind farm, the new capacity added in Mexico and the better onshore wind results in UK. All this compensate the lower contribution from the Spain and USA. Operating result in generation and supply increased by 19% mainly driven by higher output in retail sales in the Spain and the contribution of 1 gigawatt of new capacity installed in Mexico over the last 12 months. These two factors allowed us to offset the lower production in the UK after the sale of thermal generation capacity at the end of last year as well as the negative impact of the tariff cap implemented in UK since January 1, 2019. In all, the group EBITDA rose almost 12%. The overall foreign exchange impact on operating result is not significant as the reevaluation of the dollar and the pound compensated 7.5% depreciation of the Brazilian real over the last 12 months. The group’s strong operational performance is fully reflecting our generation cash flow, which exceed as I mentioned before, €2 billion, increasing by 8.5%. All businesses generated positive cash flow except renewables due to the amount of the investment made in more geographies. As a result, our financial ratios remained in line with our target with net debt to EBITDA ratio improving by 29 basis points to 3.7x. Moving to the progress in implementation of plan 2022, until March, the group invested €1.2 billion. Approximately one-third of this total was allocated to networks and another two-thirds were mainly invested in renewables. The progress made up to March were pre-modeled plan to put in service 4.1 gigawatts in 2019 as expected. The coming three quarters will be more so more intensive in capital expenditure. The new capacity added will imply increasing group production by almost 20 terawatt hours on an annual basis that means 30% rise in annual terms. And beyond 2019, we have a detailed program by technologies and geographies. They will allow us to reach almost 30,000 megawatts in new capacity by 2022. Out of that 9.7 gigawatts are already in advanced state of construction. This investment plan is the result of our ongoing effort to the below specified pipeline of project as the main foundation for the future growth. As of today, the company has a remarkable portfolio totaling 39.5 gigawatts. Solar photovoltaic contribute to 14% to this amount, 14 gigawatts mainly in the Spain and United States. We have 11 gigawatt of onshore wind project spread over all our geographies and our total offshore wind pipeline amounts to 12.4 gigawatts in countries such as UK, United States, Germany and France. It is worth mentioning that the high EBITDA generation of the offshore wind technology is around 5x more per megawatt than solar photovoltaic. If we were to compare Iberdrola pipeline in terms of potential EBITDA contribution per megawatt, portfolio base only compared with – portfolio only based in solar photovoltaic that will equal around 90 gigawatt of solar projects. Continuing with the key facts that had taken place over the last month in our core markets. In Spain, we have reached an agreement for the sale of long-term rights of use related to the excessive capacity of optical fiber networks for a total €260 million. The contribution of this transaction has not been included yet in our Q1 results. Regarding the distribution business, a Royal Decree Law has been approved that provide powers to the CNMC energy regulator to setup tariff for those assets from 2020 in line with European directives. As you are probably aware of an agreement has been reached and signed for the orderly phase-out of the Spanish nuclear fleet between 2027 and 2035 which is in line with the horizon considered in the draft of national integrated plan or energy climatic submitted to European Commission. In the UK, as expected, Ofgem published the update price cap for the standard variable tariff applicable from April 1 until 30 of September 2019 increasing this value in line with the methodology approved. In the United States, the AVANGRID result had been positively affected by new 3-year rate plans for gas network in Connecticut and Massachusetts applicable since January this year. In addition, the New England Clean Energy Connect transmission project who will link Canada and Massachusetts received the Certificate of Public Convenience and Necessity from the Maine Public Utilities Commission. This approval was a key milestone to maintain the expected date of commercial operation in 2022. In Renewables, the Vineyard wind offshore project in Massachusetts is progressing as scheduled with commission estimated in 2021, almost 70% of the project supply chain is already secured, including wind turbines from Vestas and foundations. Additionally, the power purchase agreement signed with the state distribution companies has received the approval from the Massachusetts Department of Public Utilities. In Brazil, Neoenergia continue developing its investment plan with the full commissioning of the 350 megawatt of hydro plant of Baixo Iguaçu. The official opening of this facility is expected by the end of May. In networks, the scheduled annual tariff review in the distribution companies in Bahia, Rio Grande do Norte and Pernambuco has resulted in average increase of 8% in the distribution tariffs from April 23. In addition, the Board of Directors of Neoenergia will propose with Annual General Meeting the approval to proceed with the IPO of the company. In Mexico, CFE tariff continued to be updated monthly in full accordance with the additive tariff methodology. And finally, in Germany, Vestas 9.5 megawatt offshore turbines, has already been selected for our 476 megawatt Baltic Eagle offshore wind farm. On March 29, Iberdrola held its Annual General Meeting with a registered quorum of 74.1%. All items in the agenda were approved by an average of 98%. I would like in this sense to reiterate my gratitude to all our shareholders for their participation and support. Following the general assembly, the Board of Directors approved yesterday the execution of new program, Iberdrola Retribución Flexible in July. We will amount to at least €0.2 per share either in cash or shares. With this annual shareholder remuneration reached €0.351 per share, which is 7.7% more than the previous year. As usual in order to avoid dilution, a share buyback program will be executed maintaining the number of shares outstanding at 6.24 billion. In this respect, the buyback program that is currently under execution related to the 2018 dividend will be finalized by July 2019. I will now hand over to CFO who will present the group financial results in more detail. Pepe?
José Sainz: Thank you, Chairman. Good morning to everybody. As the Chairman has explained, 2019 first quarter operating results have been strong driving net profit rise of 15%. Positive impact from currency evolution has been €7 million at the net profit level as the revaluation of the dollar against the euro about 7.9% and the British pound also revaluation of 0.9% have been partially compensated by the 7% real depreciation. I would like to stress that this growth has been achieved in absence of significant non-recurring results. As the Chairman has pointed out, the capital gains of the fiber optic rights sale are not still reflected in our accounts. New accounting treatment for operating leases due to the entry of the IFRS 16 is in place from the January 1 lowering external services by €29 million, but increasing depreciation by €17 million, financial expenses by €4 million and debt by €408 million. Revenues increased 8.5% to €10.1 billion and procurements grew 9% to €5.8 billion. As a consequence, gross margin rose by 7.8% to €4.3 billion. FX evolution added €66 million. Net operating expenses grew 8.1% to €1.1 billion affected by negative FX impact €16 million and different timing in the AGM attendance premium paid this year in the first quarter, while last year was recorded in the second quarter, another €24 million. Excluding both impacts, net operating expenses grew 4.1% driven by the higher activity of the group. Levies fell by 6.2% to €642 million positively affected by a €67 million decrease in Spanish taxes on generation due to lower hydro production in Spain and the suspension of the 7% generation tax in the first quarter, which is now in place again since April. This has been partially compensated by €17 million of higher U.S. network levies and the negative FX impact. Analyzing the results of the different business and starting with networks, its EBITDA was up 9.9% to €1.3 billion with positive evolution in all geographies. As you can see in this slide, Spain contributed 33%, U.S. 27%, Brazil 21% and the UK 19%. In Spain, EBITDA grew 2.7% to €437 million due to CNMC adjustments and lower costs. In the U.S., EBITDA was 0.1% up to $399 million due to growth in the rate plans, which have been partially compensated by tariff adjustments corresponding to the tax reform with effect under the IFRS accounting since the third quarter of 2019 that as you know has a neutral impact at the net income level as this impact is offset by lower corporate tax. Levies increased 8% due to higher property taxes in New York. In Brazil, EBITDA grew 41% driven by the strong tariff revision in 56% of its trade base from May 2018 as well as a 5% higher demand due to also to efficiency gains. Finally, in the UK, EBITDA was up 4.6% to £217 million with higher revenues both in transmission and distribution as a consequence of the higher asset base. Renewables EBITDA rose 13.3% to €684 million as the UK, LatAm and offshore business contribution more than compensated lower production in Spain and in the U.S. Global installed capacity reached 29,502 megawatts. In Spain, EBITDA was €219 million, 9.6% below last year as a consequence of 23% lower output driven by 24% lower hydro and 23% lower wind partially compensated by lower taxes linked to the already mentioned lower production and this was in hydro and the suspension of the 7% generation tax. In the UK, EBITDA was up 30% to £166 million with 3.7% higher onshore output and better prices more than compensating the sale of the hydro capacity in the last quarter of last year. In the U.S., EBITDA fell 15% to $119 million due to an 11.5% lower output driven by low wind resource, extreme weather conditions and also by lower prices. In Brazil, EBITDA was up 13.8% to BRL160 million with a 14.3% higher output mainly as a consequence of the 245 operating new hydro capacity. In Mexico, EBITDA increased 76% to $29 million as a consequence of the 43% higher output linked to the 270 megawatts additional solar new capacity installed. Finally, the rest of the world EBITDA doubled to €107 million do the Wikinger contribution, now fully operational. Generation and supply EBITDA was up 19% to €600 million driven by Spain and Mexico more than offsetting the decrease in the UK cost by the sale of generation assets and the new tariff cap in place. In Spain, the EBITDA was up 68% to €389 million, thanks to 10.5% higher sales and revenues increase. Levies also fell following the suspension of the 7% generation tax in this quarter that as I have mentioned will be now in place again. In Mexico, EBITDA grew 54.7% to $185 million driven by the higher sales as a consequence of the production increase linked to the 1 gigawatt of new installed capacity with Escobedo, Bajío cogeneration and Monterrey re-powering fully contributing to 2019 results as well as the normalization of tariffs versus the first quarter of last year. In the UK, EBITDA decreased 66% to £44 million affected by lower revenues as a consequence of the thermal assets sale during last quarter and the new tariff cap impact as well as lower sales especially in gas due to the milder winter. Brazil added BRL39 million of EBITDA, nevertheless with the supply business affected by a one-off negative impact. And in the rest of the world, EBITDA was €11 million due to initial development costs. EBIT grew 17.7% to €1.6 billion. Thanks to the 11.9% EBITDA growth combined with a 3.3% growth in depreciation and provisions caused by higher activity €29 million and the IFRS 16 impact already mentioned €60 million, partially compensated by lower nuclear depreciation €27 million and the sale of the UK thermal generation assets. Net financial expenses reached €298 million, €9.7 million more than previous years, including €4 million linked to the IFRS 16 impact. There has been a €10 million increase in non-debt related financial expenses due to the lower value of derivatives that hedge foreign currency profits versus last year. I would like to stress that the debt related financial expenses improved almost €1 million as the decrease related to the higher average – as the increase related to the higher average net debt balance has been more than compensated by the improvement in the net debt costs, which average financial cost was 3.47%, 12 basis points below 3.59% last year despite the higher rate of non-euro currencies with higher costs. Our credit metrics remained solid. Net-debt-to-EBITDA was 3.69x versus around 4x last year, thanks to our strong operating results. FFO over net debt remained above 21%. Retained cash flow over net debt reached 19.7%, improving from 19% last year. Leverage ratio was in line versus 2018. As you can see in the slide, those solid trade metrics were achieved despite the fact that the year-on-year net debt grew by €2.4 billion to €35.6 billion affected by a €1 billion of FX negative impact, IFRS 16 and higher investments. Profit before taxes grew 21.5% with no relevant nonrecurring results in the quarter. Reported net profit grew 15% to €964 million. As mentioned, the capital gains of our fiber optic right sale are not still reflected in our accounts. Corporate tax rate increased to a more normalized levels of 21% versus 16% in the first quarter of 2018 as last year was affected by final positive adjustments of U.S. tax reform accounted for in that quarter. And now, the Chairman will conclude this presentation. Just to mention that in the annex, you will find the script dividend calendar. Thank you very much.
Ignacio Galán: So to conclude the results that we are presenting today combined with evolution of our different initiative reaffirming our positive view for the full year 2019. In networks, we will continue increasing our regulated asset base in all geographies as a consequence of new investment and result will reflect increasing revenues in all areas. In renewables, the generation and supply we will install more than one, the 4.1 gigawatt mostly in renewables in the U.S., the U.K., Spain and Mexico. This new capacity will allow us to increase our production up to 20 terawatt hours on annual basis and 13% above our annual production. On top of that, we will implement new efficiency measures in all geographies and we will continue our divestment program, including the disposal of non-core assets and the sale of minority stake in certain activities. These will contribute to finance our growth plans and maintain our financial strength. All-in-all, we are increasing our guidance for full year 2019 result previously set at mid single-digit growth to high single-digit growth both at net profit and dividend level. So, thank you very much for your attention. Now we are ready to answer any questions you may have. Thank you.
A - Ignacio Cuenca Arambarri: Thank you. We have now a large set of questions. And the first one comes from Harry Wyburd, Bank of America/Merrill Lynch and Javier Suarez, Mediobanca. 2019 net income guidance has been improved. Can you help us to understand the underlying reason behind this better visibility of the company operational performance this year, which areas have improved versus February Capital Markets update?
Ignacio Galán: Well, as I have already mentioned, we have several things. For one side, we have already the increases in tariff in Brazil, then we were expecting, but not on the level we have already got. The second, we are already accelerating the construction and put in operation certain of our power plan, especially in Mexico, which is going to be ready for production as noted by the middle of this year. We have already very important efficiency plans in most of geographies. Apart from Brazil, we have plans in UK we have plans in the States, everywhere. And I think all over the world that is what we are already seeing. I think there are other things as well where this has been affected I think in the case of depreciation, we have been affected positively by the agreement reached for the closing of the nuclear power fleet in Spain. So, I think it’s several items, which have been occurring during the last weeks that make ourselves to be more optimistic.
Ignacio Cuenca Arambarri: The second question is related as well to this increase in the guidance and is coming from Carolina Dores, Morgan Stanley. Is EBITDA guidance still for mid single-digit growth? If so, is the net income increase driven mainly by lower depreciation and amortization costs?
Ignacio Galán: Well, I think I already replied. I think several things, which is efficiency, which is tariff increases, which is increase in production in certain geographies, several things as well included this depreciation.
Ignacio Cuenca Arambarri: Third question is coming from Javier Suarez, Mediobanca and is related to AVANGRID’s results that are weaker than expected as you have said. Can you explain reasons for that and the managerial actions taken to maintain EPS guidance unchanged?
Ignacio Galán: Well, I think this is a question they have to reply. But I think in the case, Pepe has already mentioned that we have been already suffering in the first quarter, very extraordinary negative impact in the wind production mostly. So, I think it’s 10% or 13% less production there, which is normal. And second thing is I think the number of storms we’ve been affected as well and the IFRS is already registered. But that’s why I think they are already in a very serious plan of making already efficiencies. We can already together with, I hope, with the normalization of the wind resource and the new wind farms, which is going to be in operation. I think this is almost is 1000 megawatt, which is in this moment in construction, which is going to start operational during the year. That is what is making ourselves to be already optimistic then they will be already moving back to the normalization of the results where they have to be.
Ignacio Cuenca Arambarri: The next question comes from José Ruiz from Macquarie and Javier Suarez from Mediobanca and is related to the Spanish recent agreements. Can you give us detail of your position after recent agreement with the Spanish administration on the extension in the useful life for nuclear plants in Spain is the context of the ongoing energy transition? And the second one is, is it legally possible to extend the useful life of nuclear plants beyond 2035, as some candidates of the government has promised during the election campaign?
Ignacio Galán: Well, our position has been very clear. So, I think we are not talking about life extension. I tried to distinguish between annual reviews and overhauls. I think we are ready. We are ready to make all the necessary for keeping all those power plant in operation if they are economically viable. And I think the only way to make that economically viable is if the investment, require for given continuity of this power plant is reasonable. So, and that is precisely what is happening. I think those power plants have been designed for 40 x 12, so 480 months of operation. And I think all those power plants have not been operating such a time because every year they have already certain period dedicated to recharging. So, I think there is still an operation life pending on the range of 6, 7 years in each of those ones and that is what has been contemplated. So, with a minor investment, which is a normal one we are making on annual basis, this power plant has been designed for this period that can already continue operating in economical and viable manner without being forced to make already an overhaul. So, and that is what has been already agreed. That fits with the needs of Enresa for the commissioning cost. That fits with the plan – the national plan of energy climatic change and that fits with the interest of the owners of the power plant and that is the agreement that has been reached, which I feel is reasonably looked at.
Ignacio Cuenca Arambarri: The next question comes from Stefano Bezzato, Crédit Suisse; Jorge Alonso, Societe Generale; and Javier Garrido, JPMorgan; and it’s regarding the Spanish liberalized business evolution. Can you please give us an update on your hedging policy in Spain for 2019 and 2020? What are the main drivers behind the power tariff remaining in the backwardation? Can you provide more color about the expected performance for liberalized unit in Spain in 2019 on the back of first quarter results, margins normalization?
Ignacio Galán: So, I think it’s what I can tell you is that for 2019, we have already all our energy sold at a price which is under in the range of the €70, Paco, correct me, on this level. For next year, I think most of the energy as well is already being sold and covered and hedged in this moment with similar prices, I would like to say. And that is what I can say on this time. I think the prices have been slightly downward previous year, this really affected because of the increases of the CO2 prices. And that said, I think, we have all of our production completed, sold for 2020 for 2019 and most for 2020 as well in a similar price in both cases.
Ignacio Cuenca Arambarri: Next question is coming from Carolina Dores, Morgan Stanley and is regarding the hydro output expected in the guidance for the rest of the year.
Ignacio Galán: So, as I said in the first quarter, it was not very good. It was much worse than previous year. I think if I’m not wrong, Pepe, you mentioned 23% or 24% less than previous year. So that has already reflected in our account. So, I think in our result that’s been already been affected. That’s why we have been already forced to produce more with another technologies. I think our nuclear in Spain produced more. Our combined cycles produced more. We can already has already compensated this production. So, I think that normally, the second and the third quarter of the year normally, the hydro production is much lower, so it’s not affecting so much. And we are fully dependent on the last quarter of the year. Saying that at the group level, as I mentioned, so I think the difference is that we can already have this in numbers 1, 2, 3 terawatt hours at most. And I think what we are talking is, when they put it in service, the new power plant we’re building worldwide, I think the production in the group can already increase on the level of 20 terawatt hours, so almost 10x more than that energy we have already lost on production during the first quarter. So, I think we have hedged in terms of production probably if the hydroelectric conditions continue like it were in the first 3 months of the year. Now it’s raining, so I think April seems is going to be normalized condition, but it never delays. I think second quarter third quarter normally are low output and the last quarter normally is a rainy season and we’ll see what is going to happen. But nevertheless, at the group level, we are more than covered in terms of production because with the installation that they put into service, these 4.1 terawatts that we have in gigawatts that we have now in construction, so this will more than compensate 4 or 5 times more than that electricity can – then will not potentially produce because of the lower hydro output.
Ignacio Cuenca Arambarri: The next question comes from Fernando Garcia. What is the impact of the elimination of the suspension of the 7% generation tax in Q1?
Ignacio Galán: I’ll turn this to Pepe.
José Sainz: I think in Q1, I think it’s been around €40 million, €50 million.
Ignacio Cuenca Arambarri: Next is coming from Fernando Garcia, Royal Bank of Canada. What is the sorry, about Alejandro Vigil, Cygnus Capital, opinion about new entrants in supply in Spain oil construction companies, et cetera?
Ignacio Galán: So welcome to the competition. So, I think we need so much investment in this sector, then welcome those ones who will like to be part of this club. So, I think according to International Energy Agency, the need for investment another 20 years is in the range of $20 trillion in new power generation, and we will like to achieve the targets of decarbonization that it’s going to require. In the case of Spain, according with the numbers, has been said by the Minister of Energy Climatic Change, Spain will require investment in the range of €300 billion in the next 15 years as well. So, I think all those ones who would like to come for increasing energy efficiency, for improving their production, for de-carbonizing the economy, so for electrifying mode of transport, welcome all those ones. So, I think we are not afraid of the competition. We welcome the competition. Iberdrola is more than prepared to compete in all areas where we’ve been always forever.
Ignacio Cuenca Arambarri: Next question comes from Javier Garrido, JPMorgan and Stefano Bezzato, Credit Suisse. Can you quantify the capital gain on the fiber cable disposal you announced in Q1?
Ignacio Galán: Well, I think I don’t know if that is public. I don’t know if I’m allowed to say, but I think, it’s quite important amount. It’s quite important amount. I think we are not allowed yet to disclose what is the amount, but it’s is an important figure.
Ignacio Cuenca Arambarri: Next question comes from Jorge Alonso, Societe Generale, regarding the Neoenergia IPO, would Iberdrola increase it’s stake or keep it at the current 52%?
Ignacio Galán: So, as you know, in Neoenergia, we have already shareholders agreement, which our partners we are already obliged if our partner decide to make the company public to support this one. So, I think that’s why we are supporting that one. Our interest is not sell it unless we have already with agreement to make already putting some shares in the market. So, I think as a whole, we will keep the majority of the company. Probably, we’ll be forced to sell one or one something like that of our stake to complete the matching money, I don’t know the details of the shareholder agreement, but I think it’s a decision taken by our share by our partners, we are supporting the decision of our partners. We are going to keep according with the shareholder agreement the majority of the company. We are going to keep the control of the company that we have today.
Ignacio Cuenca Arambarri: Next question comes from Martin Young, Investec. Welcome, Martin. Please his question is, please can you comment on your level of interest in the ENW sale process in the U.K.? Iberdrola has been mentioned as being in the final round.
Ignacio Galán: So, I think we already we are in the process of finalizing that one. Still decision is not being taken, and that is what I have to say. I think a few days ago it has been already opened the data rule and we are already in the process of looking in the data rule and to see the details. And when we analyze all those things, we will take a decision to go ahead or not, to make an offer, not to make an offer, et cetera. But I think we are in this moment analyzing all these things.
Ignacio Cuenca Arambarri: Next question comes from Mickey Baker from Bernstein; and Carolina Dores, Morgan Stanley. Can you give us an update on the U.S. offshore tenders? When do you expect update on the results of these tenders?
Ignacio Galán: I don’t know much of the detail, but do you know the detail Paco? Paco will reply to you in detail on that.
Francisco Martínez Córcoles: Well, if I remember well, we are participating right now in through in Rhode Island and New York request for proposal. So those has to be selected or we have we expect to have the result of these 2 requests for proposal, one in May, Rhode Island 1; and another one is around the spring of this year. I don’t know whether May or June or something like that, so in coming month. That’s for New York. And the third one is just, let’s say, we are still analyzing the proposal because all the submission of the proposal is expected for August, but is not yet open.
Ignacio Cuenca Arambarri: Meike Becker from Bernstein is with another question related to Mexico. Can you please elaborate on expectation for tariff developments and progression of plans to build more gas and cogeneration?
Ignacio Galán: Well, I think in terms of tariffs, what I was saying is we’re absolutely following the rules what has been already approved. So, I think there already there the tariff is being fully applied. I think you remember, last year, in the beginning of last year, they have shown this adjustment in the tariff has been already adjusted across the last year and now they are fully following the model of the tariff that has been already designed. It’s an additive tariff absolutely transparent and they are already following this trend. In terms of new potential power plant, we have several projects in Mexico, and we are already in this moment in construction several of those one and we have another one in pipeline. Then probably we’ll take decision as soon as we will see the demand of our customers. As you know, an important percentage of our production is already directly, sell to the final users to the big industry and I think when this demand is increasing, we will continue already making the necessary investment to fulfill the demand that our customers require.
Ignacio Cuenca Arambarri: Next question is from Jorge Alonso, Societe Generale. Any news on the proposal to U.S. regulator for CapEx linked to the reliability of the grid timing for getting an answer for foreign regulator.
Ignacio Galán: So, we have presented, I think, in May or in June the new rate case for New York. And in this rate case, we are already presenting reliability plan with investment with amount in the range of $2.5 billion for improving the reliability of the grid. So, I think that is a process, which is going to take probably 6 or 8 months to I think the new rates is going to come into force by first quarter of 2020. And I think we will start the negotiation from now from the moment we present this one up to 2020. But what is important is we would like to finish with the problems of the or minimize the impact of the storms, already investing more in the grid if we are allowed by the regulator. So, I think we are not happy seeing that systematically as consequence of the storms, citizens are being affected because of problems of blackouts and I think there are today technical solution, and we would like to implement this thing as solution. But we are not allowed if we have not already received the approval by the regulator. So that we present this plan. Just trying to solve once forever the problem that the citizen of United States is already suffering. With these before called century storms, but we are seeing the century storms now what are really storms.
Ignacio Cuenca Arambarri: And the last question comes from Meike Becker again from Bernstein regarding the 10 gigawatts in Iberia. Could you elaborate on the stage of development and your confidence in signing PPAs for this plan?
Ignacio Galán: Well, I think in this moment, we have our plan is to have already in operation 3 gigawatts by 2022. I think from which approximately 1 gigawatt is now in this moment in construction and 1 probably maybe is going to start in the next few weeks or months. So, and I think that this is going to be dedicated to 2 things. For one side, we have signed certain PPAs. But another one, we are already net buyer of electricity. So, I think we have already our demand of our customers is more than the production we have. That is going to cover partially the energy that we are buying at present from the market, so which I think is the PPA is already being made without being a PPA directly internally.
Ignacio Cuenca Arambarri: Okay. Thank you very much. After 45 minutes of presentation. Now please let me give the floor to Mr. Galán to conclude this event.
Ignacio Galán: So, thank you very much, Ignacio. Congratulations you asked for 45 minutes. I think you’re precisely you’re conducting very well the meeting. So, thank you very much all of you for participating to this conference call. And any questions you may have, our Investor Relations led by Ignacio are ready to reply all of you. Thank you very much all of you.